Operator: Good day, ladies and gentlemen, and welcome to the ePlus Earnings Results Conference Call. As a reminder, this conference is being recorded. And I would like to introduce your host for today's conference, Mr. Kley Parkhurst, SVP. Sir, you may begin.
Kley Parkhurst: Thank you for joining us today. On the call is Mark Marron, CEO and President; Elaine Marion, CFO; and Erica Stoecker, General Counsel. I want to take a moment to remind you that the statements we make this afternoon that are not historical facts may be deemed to be forward-looking statements and are based on management's current plans, estimates and projections. Actual and anticipated future results may vary materially due to certain risks and uncertainties detailed on the earnings release we issued this afternoon and our periodic filings with the Securities and Exchange Commission, including our most recent annual report on Form 10-K, quarterly reports on Form 10-Q and in any other documents that we may file with the SEC. Any forward-looking statement speaks only as of the date of which the statement is made, and the Company undertakes no responsibility to update any of these forward-looking statements in light of new information, future events or otherwise. In addition, we will be using certain non-GAAP measures during the call. We've included a GAAP financial reconciliation in our earnings release, which is posted on the Investor Information section of our website at www.eplus.com. I'd now like to turn the call over to Mark Marron. Mark?
Mark Marron: Thank you, Kley, and thank you everyone for participating in today's call to discuss our fourth quarter and fiscal 2023 results. We were very pleased with our fourth quarter and year-end results. For fiscal 2023, net sales increased 13.5% to $2.1 billion, net income increased 13%, and diluted earnings per share grew 14%. We achieved this solid growth even as we made significant investments in our team to enhance our capabilities and capture future growth opportunities despite challenges in the IT supply chain. Our gross billings grew to $3.1 billion, a nearly 20% increase over the prior year. These financial achievements underscore the continued success of our growth strategy, innovation and execution where we capture incremental market share by focusing on opportunities in higher-value and higher-growth solution areas, such as workplace transformation, artificial intelligence and our core offerings of security, networking and cloud. Fourth quarter net sales increased 9% driven by contributions from both products and services. Improved margins, particularly in our services business, helped fuel strong fourth quarter net earnings growth of 35.5% and diluted earnings per share growth of nearly 35.2% as compared to the fourth quarter of fiscal 2022. Looking at our financial results in more detail. Technology segment product net sales rose at a double-digit rate for both the fourth quarter and for our fiscal 2023. These gains were driven primarily by networking and security solutions that enable workplace transformation. While the technology to support remote and hybrid work models has been widely adopted over the past few years, workplace transformation is a complex and multifaceted process that demands specialized knowledge and expertise. From design to implementation, ePlus serves as a trusted partner, enabling our customers to facilitate workplace collaboration, reduces cybersecurity risks and enhanced network performance. Services net sales increased approximately 12% in the fourth quarter and 10% for the full year. Managed services represented a source of particular strength as customers increasingly opt to outsource their day-to-day IT requirements. By outsourcing these functions to ePlus, organizations enhance their ability to drive better operational decisions, mitigate risk and improve efficiency. Within managed services, we had a strong year both of bookings and also brought to market are a number of new innovative solutions. Managed services create desirable annuity-like revenue streams while also differentiating us from our peers and providing high value and customer satisfaction. We continue to build out our managed service capabilities that provide the support and outcomes our customers need. This includes providing improved IT life cycle visibility through our asset management services and executive dashboards that provide real-time operational metrics for their devices under management. Our 24x7x365 monitoring and learning provides customers with regular updates on the performance and health of their IT environments. Through our expanded managed service capabilities, we have built a solid base of recurring revenue. This revenue stream not only contributes greater predictability to our financial performance, but also provides an opportunity to build and strengthen long-term relationships with our customers. Security remains a key growth driver of our overall business. As enterprises and organizations have shifted their operations towards the cloud, heightened cybersecurity risks have fueled demand for our comprehensive suite of security solutions. Over the past 12 months, our security product gross billings increased 36.5% and accounted for 22.3% of our product gross billings. We continue to maintain a positive outlook for our security business as our customized solutions are aligned with our customers' life cycle needs from strategic design to ongoing maintenance and support. As you'll recall, our financing segment generated exceptional results in fiscal 2022 largely due to certain outsized transactions, some of which were customer-driven and were not expected to recur this fiscal year. As we've stated over time, our financing business is a differentiator as compared to our technology peers, but has lumpy operating results because of the transactional nature of the business. Over the years, strategic acquisitions have played an important role to drive our strategy and growth. Through our disciplined M&A process, we look for companies with solid financials, strong customer bases and a talented team to drive growth. We are pleased to have found these qualities and more in the Network Solutions Group, a business unit of CCI Systems, which we acquired on April 30, 2023. We believe this is a great fit for ePlus, offering a unique and compelling opportunity to expand our presence in the telecom market by providing our enhanced array of products and services that we believe will drive improved performance, reliability and security for customers. Throughout fiscal year 2023, ePlus brought to market a number of internally developed and cost-effective solutions that were well received by our customers, for example, ePlus Storage-as-a-Service powered by Pure Storage; and AVA, an automated virtual assistant for collaboration. Additionally, we announced several cloud managed services powered by top vendors such as Microsoft, VMware and AWS. We were pleased to be named the first North American Cisco partner be qualified in the Cisco Partner Lifecycle Services Support. We then brought to market our own branded solution, the ePlus Lifecycle Services Support, which centralizes and streamlines a customer's technical support experience by providing first call, multiproduct, multi-vendor architecture support for Cisco and adjacent technologies. In addition, we were named Cisco U.S. Partner of the Year and Cisco Global U.S. Marketing Partner of the Year. We were also recognized by many other vendors across multiple areas, such as Pure Storage Customer Advocate of the Year, Palo Alto's America's Social Impact Partner, along with Nutanix Americas and Global Reseller Partner of the Year. Looking forward, we believe we are well positioned in the IT market to provide solutions, which are recession-resilient, reflecting the fundamental strength of our business model and our market positionings. Given heightened economic uncertainty, we believe IT spending in our fiscal 2024 year is likely to be directed towards products that yield faster returns and improve efficiencies. With the proliferation of cyber threats, we anticipate that the strengthening of corporate cybersecurity programs is also likely to remain an IT priority. In this environment, we will continue to work closely with our customers, providing cost-effective and timely solutions that will enable them to address immediate needs and help advance their longer-term IT objectives. I would like to commend the entire ePlus team for their dedication and consistent execution in a challenging environment. Even as we faced persistent supply chain constraints throughout the year, our team was able to deliver the products and innovative solutions that met our more than 4,300 customers' needs. I will now turn the call over to our CFO, Elaine Marion, to provide details on our fourth quarter and full fiscal year 2023 results. Elaine?
Elaine Marion: Thank you, Mark, and good afternoon, everyone. I am pleased to report a strong finish to fiscal year 2023. In the fourth quarter of fiscal 2023, we continue to benefit from our strategic focus on providing higher-value and higher-growth technology solutions. Consolidated net sales were up 9% year-over-year to $492.2 million, and technology segment net sales increased 15.2% to $483.2 million driven by 15.9% growth in product revenue and 11.5% growth in services revenue. Gross billings, a new operational metric that reflects the total dollar value of customer purchases of goods and services, including shipping charges during the period net of customer returns and credit memos, sales and other taxes, totaled $733.1 million, representing a 17.6% increase from the year ago quarter. Due to fewer sales of leased equipment, our financing segment revenue totaled $9 million, below the exceptional $32.1 million reported in last year's fourth quarter. As previously noted, we did not expect last year's performance to be replicable. Consolidated gross profit increased 14.7% to $132.3 million, and gross margin of 26.9% expanded 140 basis points year-over-year. Within our technology segment, gross profit increased by 20.9% to $124.7 million, and our technology segment gross margin showed a 120 basis point improvement to 25.8% driven by higher margins on both product and services. More specifically, product gross margin expanded 100 basis points to 23.8% due to changes in mix, and services gross margin expanded 260 basis points to 37.9% due to an increase in gross profit from both professional and managed services. Financing segment gross profit amounted to $7.6 million compared to $12.2 million in the year ago quarter due to lower profit from sales of leased equipment that was expected as last year's fourth quarter benefited from early lease buyouts that did not recur this year. To meet our customers' needs for the past several quarters, we have invested in customer-facing personnel that led to higher salaries and benefits, driving fourth quarter SG&A up 10.9% year-over-year. At quarter end, our head count totaled 1,754 compared to 1,577 in the prior year quarter. Interest expense was up year-over-year due to higher interest rates and increased borrowing on our credit facility. We managed expenses efficiently, leading to operating income improvement of 23% year-over-year to $42.4 million. The effective tax rate was 22.4% and in the fourth quarter of fiscal 2023 compared to 29.6% in the year ago quarter due to lower-than-forecasted non-deductible expenses, increased benefits from foreign sales, along with favorable state return to provision adjustments. Fourth quarter consolidated net earnings were $32.9 million or $1.23 per diluted share compared to $24.2 million or $0.91 per diluted share in the year ago quarter. Non-GAAP diluted earnings per share were $1.36, a 34.7% increase from the year ago quarter. Adjusted EBITDA was $48.7 million, 22.4% ahead of the comparable quarter in fiscal 2022. That brings me to our full fiscal year review. Fiscal 2023 net sales of $2.07 billion reflected a 13.5% year-over-year increase. Technology segment net sales grew 16.3% to $2.02 billion with service revenue growth of 9.9% to $264.4 million. And our financing segment net sales were $52.5 million compared to $88 million in the prior year. Our gross billings amounted to $3.1 billion, 19.8% ahead of fiscal 2022. Our two largest end markets, telecom, media and entertainment and technology, represented 26% and 20% of technology segment net sales, respectively. Health care, SLED and financial services accounted for 14%, 14% and 8%, respectively, with the remaining 18% from other end markets. Fiscal 2023 consolidated gross profit was $517.5 million, up 12.3% from 2022. Gross profit in the technology segment grew 16.3% to $474.5 million, and gross profit in the financing segment was $43 million compared to $52.8 million in the previous year. The consolidated gross margin was 25% compared to 25.3% in fiscal 2022. Technology gross margin remained constant at 23.6%. We are pleased with consolidated operating income growth of 12.8% to $166.2 million, even with operating expenses up 12% to $351.4 million, demonstrating the favorable operating leverage in our business model. Our effective tax rate for fiscal 2023 was 26.8% compared to 28.1% a year ago. Operating leverage also helped drive strong earnings growth as we saw net earnings of $119.4 million or $4.48 per diluted share, representing increases of 13% and 14%, respectively. Non-GAAP EPS grew 14.4% to $5.02. In terms of our balance sheet, cash and cash equivalents at the end of fiscal 2023 remain at healthy levels totaling $103.1 million. The decrease from $155.4 million at the end of fiscal 2022 is mainly attributable to share repurchases, the purchase of Future Com and increased working capital needs. Together with the expanded Wells Fargo credit facility of $500 million, we have ample liquidity and financial flexibility. Inventories were up 56.9%, ending the year at $243.3 million and sequentially flat with our third quarter. Similar to prior periods, this variance is driven by ongoing customer projects not yet completed partly due to continued supply chain constraints and large customer projects. Our cash conversion cycle was 59 days compared to 50 days in the year ago quarter, also primarily the result of higher inventory levels that we have been experiencing in the past several quarters. Overall, 2023 was a good year for ePlus, and we are very proud of our team for delivering such strong results. With that, I will turn the call back over to Mark. Mark?
Mark Marron: Thank you, Elaine. In closing, we are pleased with our strong fourth quarter results that concluded another successful year for ePlus. Our growth strategy is working, enabling us to capture share in higher-growth, resilient market segments where we provide the complex and innovative solutions our customers require to meet their IT objectives. We have continued to add to our capabilities both through investments in our team and through targeted acquisitions that help build long-term value for shareholders. Operator, please open the line for questions.
Operator:  We'll take our first question from Maggie Nolan with William Blair.
Jesse Wilson: This is Jesse Wilson on for Maggie Nolan. Congrats on a really nice quarter here. Mark, I wanted to circle back to your comments about the faster return. So how is the Company positioned to deliver on these types of projects? And how big of a role do you think the supply chain will play in delivering this work?
Mark Marron: Sorry, Jesse, when you're saying faster return, what portion are you referring to?
Jesse Wilson: I think you were talking about clients prioritizing projects that deliver faster returns for them?
Mark Marron: Oh, okay. Yes, I got it. So here's what we saw this quarter. The supply chain did ease a little bit. So specifically in the networking space, we saw a nice uptick and a little bit of pull-through on some of our networking gear. It's still fluctuating by vendor, but we did see some of our open orders pull down as well. So, we saw a little bit of pull-through there, specifically in the networking space. And then we just think that the solutions that we have in play, some of our services and other things will play well in this type of environment.
Jesse Wilson: Okay. And then on margins, what kind of helped you get back to the high 30s level in services? How sustainable is it? And can you just kind of talk about Q4 versus the rest of the year?
Mark Marron: Yes. So what we saw in the services side, some of the uptick had to do with -- we had a strong quarter with our managed services revenues, which are nice margins for us. We also saw -- based on the supply chain, we were able to see some of our professional services open up, which are our strongest margins that we have within the Company. So from that end, we saw some of that. And then there were some price increases that we made as well that help with our margins.
Operator: Got it. I'll hop back in queue. Congrats again.
Mark Marron: All right, Jesse, thanks.
Operator: We'll take our next question from Greg Burns with Sidoti.
Greg Burns: Could you just talk about current demand trends, order patterns relative to maybe what you're able to still generate based on the backlog of business, so current demand versus leaning on the backlog? And what's your view is going forward into fiscal '24 given some of the macro headwinds that we're seeing? We could start there, I guess.
Mark Marron: Yes. That's fine, Greg. So I'm not sure what you're talking about macro headwinds. I'm assuming supply chain, price increases, interest rates rising, inflation, staffing shortages and tech layoffs, right? So -- but nothing we have to play through. Here's what I'd tell you. Our open orders are still strong. They were down year-over-year, but still significantly higher than our normal in terms of our back orders. Our backlog is still very solid on both product and services, and our pipeline is strong. So, we do see some easing on the supply chain as well that I think will help. But as you know, in this market, customers -- when interest rates rise, sometimes it reduces their purchasing power. We are seeing some longer sales cycles. So although we're cautiously optimistic, we do have some concern that it may impact some customers' willingness to spend as we move forward.
Greg Burns: Okay. And then -- so with that in mind, how do you look at investment for next year? Obviously, you added a lot of head count this year. Do you intend to slow that down next year? And maybe, I don't know, try and grow off the investments you made this year in terms of head count? Or are you going to continue to add?
Mark Marron: Yes. Greg, it's a good question. Right now, we do have open reqs. So, we do plan on continuing to hire. But with that said, like anything, not just in the economy we're in, but every quarter and every year, we watch it very closely based on our operating metrics, and we'll make the adjustments that we need to make in terms of whether adding head count or building out new solutions. But based on this year, we saw a nice uptick and both our revenues and our operating income margins were up by a decent amount as well. So, we're going to continue to invest in head count and build out the solutions. But be mindful that we will watch it very closely if things start to adjust or things go south from a recession standpoint.
Greg Burns: Okay. And you've obviously built a strong security practice over the last couple of years. Where are you in terms of AI, your capabilities there? Is that an area where you can expand? And would that be like organic or inorganic?
Mark Marron: Yes. Well, one, it would be organic. Two, I think we're in the beginning stages here. So we work with partners like NVIDIA and HP and a few others related to that. And a lot of it is really just about automating and optimizing processes and things along those lines. I would think two of the biggest technology trends that are out there really are AI and automation going forward. So anything that streamlines processes or reduces human error, leverages data to drive your business, I think, will be a solid business for most folks going forward, Greg.
Operator: We'll take our next question from Matt Sheerin with Stifel.
Matthew Sheerin: Just a question on the strength of the gross margin that you saw in the quarter, Mark, it was up significantly from last quarter. You talked about product mix being one factor. Could you talk about exactly what we're talking about here in terms of product mix? And what are your expectations for gross margin as we get into next quarter?
Mark Marron: Yes. So Matt, our margins were up for two reasons. One, our product margins were up year-over-year in the quarter. Also, as Jesse noted earlier, our service margins were up nicely in this quarter. So that's where the big uptick happened in our gross margins overall.
Matthew Sheerin: But specifically in terms of the product mix, is it because you did, like in the December quarter, more like high-volume servers and there's a different mix of business with the price increases? I'm just trying to figure out. And as we get into the next quarter or two, are you expecting margins to be at these high levels, which would indicate up year-over-year?
Mark Marron: Yes. So a couple of things here, Matt. So first off, look, the services being up is two things. One is, as we talk about, we continue to build our managed services annuity-quality revenues, which are a nice margin business for us, which helps enhance our margins on the services side. I think I mentioned earlier, our professional services were up as well, which are nice high-margin business for us, which helped there. And then I think networking was up significantly, which had nice margin for us as well. So those would be the areas that I think had some effect on the margins overall. And going forward, we'd expect the margins to be in line. But as you know, it goes across -- it changes from quarter-to-quarter based on seasonality. And then the other thing that I mentioned briefly is we did raise prices on our services, which increased the margins there.
Matthew Sheerin: Okay. And I noticed in terms of your revenue by end market, you had significant growth in fiscal '23 from technology and from media and really no growth in health care and a couple of other markets. So could you tell me you chose what drove that? And then also, what's your outlook for fiscal '24 for those markets?
Mark Marron: Yes. So a couple of things there, Matt. So if you look at our technology segment, our operating income was actually up 43.8% in this quarter and 28.5% for the year. So, we had a very solid year across the board with our technology segment in terms of the solutions we were selling to the customer base and by vertical. So here's a couple of things at a very high level. So first off, our top five verticals were up for the quarter and for the year both on net sales and gross billings. And specifically, SLED in technology drove that. What I don't worry about is a vertical being up or down in a quarter unless it's significant. You're going to have that based on a couple of deals or maybe what's going on in the market. What was another thing that was interesting that was really good by the team in terms of the execution, our customer size segments were all up both for the quarter and for the year both from a net sales and from a gross billing standpoint. So what that means, in my mind, is the team is doing a really nice job from a go-to-market of selling into all our customer size segment from the mid-market to the enterprise across our five key verticals. And then the other thing that was interesting as well -- and our net sales by type, we were actually up for the year as well across all of our data center cloud, networking, security and cloud from a net sales perspective. So when I look at it from a year overall in execution, I think the team did a really nice job by customer set, by type, meaning solution set, and also by vertical. Hopefully, that covered what you were looking for there.
Matthew Sheerin: Yes. Yes. If I can just press a little bit in terms of the outlook, I mean there's concern, a lot of your suppliers, the hardware OEMs, have talked about, particularly enterprise-level customers, really digesting the spending that's been going on and pushing things out. It doesn't sound like you've got that backlog, you got that inventory that you're waiting to fill orders. So, it doesn't sound like you're seeing any really significant push outs or anything from customers.
Mark Marron: Yes. We're not -- we're seeing delays in the sales cycle. So, I think I mentioned it earlier. So we worry about could we be impacted. Matt, we listen to all the vendors and competitors and all the things that everybody is going through. So, we're not recession-proof, maybe recession-resilient, based on what we're selling. But like everybody, we're seeing some longer sales cycles. But for the quarter and for the year, the team did a really nice job executing across the board.
Matthew Sheerin: Okay. Great. And just lastly, on that acquisition that you just did, could you tell us what the expected revenue contribution on an annual basis would be?
Mark Marron: Matt, we don't disclose that. They had about 88 employees, just to give you a feel for size, and it's immaterial in terms of to our overall numbers. But what we think is they've got a solid customer base. They're in the service provider space, and they've got some master specialization accreditations from Cisco that we think we can leverage across the rest of ePlus in the service provider space. And also, we think what ePlus brings to them with security and finance and collaboration and all the other solutions we have, we're going to be able to go back into their customer base and upsell and cross-sell. So, we're kind of excited. We think it's a talented team and will make a difference for ePlus as we go forward.
Operator: And that does conclude the question-and-answer session. I would like to turn the call back over to Mark Marron for additional or closing remarks.
Mark Marron: Okay. Thanks, operator. Thanks, everybody, for joining us today. I wish everybody a happy and long Memorial Day weekend to enjoy with your family and friends. And we look forward to speaking with you on the next call. Take care.
Operator: And that concludes today's presentation. Thank you for your participation and you may now disconnect.